Operator: Please stand by we’re about to begin. Good morning. Welcome to GameStop corporation’s 2005 4th quarter and fiscal year end earnings results conference call. Today’s call is being recorded. At the conclusion of the announcement a question and answer session will be conducted electronically. Anyone wishing to ask a question may signal us by pressing the star key followed by the digit 1. If you find your question has been asked, you may remove yourself by pressing the star key followed by the digit 2. Once again, that’s star 2. I would like to remind you that this call is being covered by the safe harbor disclosure contained in GameStop’s public documents and is the property of GameStop. It is not for rebroadcast or use by any other party without the prior written consent of GameStop. At this time I would like to turn the call over to Dick Fontaine, Chairman and Chief Executive Officer of GameStop Corporation. Please go ahead sir.
Presentation:
Dick Fontaine, Chairman and CEO.: Thank you and welcome to GameStop’s 2005 and year end conference call. We’re pleased to have you with us today. With me are Dan DeMatteo, GameStop’s Vice Chairman and Chief Operating Officer and David Carlson our Executive VP and Chief Financial Officer. This morning we released our year end numbers which were very satisfying and a reflection of a great deal of hard work on the part of our management team. Fiscal 2005 was clearly a huge win for GameStop and all of our shareholders. The completion in October of our merger with EB games was obviously a major milestone. It not only has tactically been almost instantly beneficial but has put us in the superb strategic position to capture more of a growing market worldwide. For the year, we achieved record sales, increased our gross margins, even though very low margin hardware sales grew by almost 5% as a percentage of sales, and kept our expenses well under control, even as we added new stores at a record pace. Our operating margins grew to 6.2%; 6.6% without one-time merger related expenses and net earnings for the year surpassed $100 million. Our balance sheet remains strong. At year end we had over $400 million in cash and operating cash flows for the year came in at approximately $283 million. During the year we opened 792 new stores. 450 in the US and 342 internationally. And we will continue to define ourselves as a rapid growth company in the future. In 2006, we will be opening approximately 400 new stores, slowing slightly only to ensure that our field organization has time to digest the many changes of the integration process. GameStop’s market share has now grown to the point that 21% of all new video game products sold in the US comes through our over 3,600 stores across the country. In addition, with the completed merger, we are now doing business in 14 countries outside the US; with 866 international stores, and are now well-poised to reap the benefits of worldwide growth in the video game category. The integration is on schedule and has already begun to yield many synergies. When we brought the 2 companies together, we did so under the banner of better together. And that’s proven to be much more than a slogan. While there are many areas where best practices have been applied to improve the business, nowhere is it more evident than in refining our new and used interrelationship. By applying the GameStop algorithms when setting the buy and sell price for used products to all EB stores, we’ve not only increased margins, we’ve improved our new title reservations, which are often reserved by trading used goods, and have given our customers continued great value. Our management team is not only experienced but we’re very deep. It takes a great many people working together, holding themselves accountable, making deadlines and constantly exhibiting a high sense of urgency, to move as fast as we have, as successfully as we have. I’ll now turn the call over to David who will take you through the numbers in more depth. David?
David Carlson, Executive Vice President and Chief Financial Officer.: Thanks Dick and good morning. Before the market opened today we released our sales and earnings results for the fourth quarter and full year fiscal 2005. Earnings for the 4th quarter of fiscal 2005 were $85 million, or $1.10 per diluted share including merger expenses of approximately $1.4 million or $.02 per diluted share. These earnings exceeded our previously released guidance by $.04 per diluted share on the strength of January sales mix, January gross margins and better than anticipated expense controls in December. Sales for the 4th quarter were $1.67 billion, with comparable store sales decreasing .3% for the quarter, in line with expectations. Earnings for fiscal 2005 were $100.8 million or $1.61 per diluted share. This included merger expenses of approximately $13.3 million or $.21 per diluted share. Sales for fiscal 2005 amounted to $3.1 million with comparable store sales decreasing 1.4% for the full fiscal year. This morning we also provided initial guidance for fiscal 2006. We are expecting diluted earnings per share for fiscal 2006 to range from $1.83 to $1.93. As we are adopting SFAS 123 this fiscal year, including in this EPS guidance is approximately $.17 per share of stock based compensation. Excluding this stock based compensation, diluted earnings per share would range from $2.00-$2.10. In addition, we expect comparable store sales for the fiscal year to increase between 6-9%, with total sales on a pro forma basis increasing between 14 and 17%. Imbedded in our guidance, we are assuming US video game software growth of between flat and +3% for the year. We are also assuming that the SONY PS-3 and Nintendo Revolution launch worldwide in November. However, we are modeling conservative quantities for these launches due to our prior experiences with November hardware launches. We currently expect to open 400 new stores in fiscal 2006 with capital expenditures of approximately $110,000 for the fiscal year, $110 million for the fiscal year, excuse me. Merger synergies are on track and we now expect savings of $70-$80 million in fiscal 2006. These synergies represent both cost savings and gross margin enhancements realized from applying best practices from both companies, including the elimination of duplicate general office and warehousing expenses, operating efficiencies, freight reductions, benefits from applying GameStop merchandising algorithms to EB’s used video game category and other fixed-cost savings. Please note that the elimination of a duplicate general office and warehousing expenses should occur in the last 3 quarters of the fiscal year as the Westchester general office and the Coatesville Distribution Center are phased out. For the first quarter of fiscal 2006 we are expecting comparable store sales will decline 7-9%, due primarily to the launch of SONY PSP in the prior quarter. Diluted earnings per share are expected to range from $.04-$.05 per share, including stock based compensation of approximately $.04 per share. Excluding stock-based compensation, diluted earnings per share would range from $.08-$.09. Finally, we are extremely positive about GameStop’s future. The strong industry fundamentals on the horizon, continued work to extract synergies from the merger with Electronics Boutique and the strong cash flow we are experiencing, we believe we can achieve a long term EPS growth rate of 25%. Now I’ll turn it over to Dan for his comments.
Dan DeMatteo, Vice Chairman and Chief Operating Officer.: Good morning. This morning I’d like to share with you some of our assumptions that went into our sales planning, give a brief update on integration activities with Electronic Boutique and then we’ll turn it over to the moderator for a Q&A session. First, the sales planning assumptions. 2006 has a lot of moving parts, but at the end of the day, we believe the industry will transition nicely and it will be a positive year in sales for both video game hardware and video game software. We expect that the flow of Microsoft X-Box 360s will meet demand very shortly and we will begin to see refill 360 adds for the first time, as Microsoft will definitely want to take advantage of the (inaudible) with SONY and capitalize on the PS-3 announced delay. We have planned a 4th quarter PS-3 launch with limited total market US quantities in the 1-1.2 million range. And we are assuming a launch of Nintendo’s revolution system in the fourth quarter, with again limited US total market quantities in the 750,000 range. Our hardware sales planning also assuming the price cut on the PS-2 that will drive sales to the 5 million range, similar to last year. And, with the introduction of anew core unit PSP at $199, we expect full year PSP hardware sales to be in the 5 million range also. Lastly on the hardware front, we really like what we are seeing in creative software development for the Nintendo DS with the WiFi enabled games and the new brain fitness games, that will appeal to an entirely new demographic and help drive DS hardware sales to record levels this year. Our software sales planning efforts look at trends as well as expected title releases. The PS-2 software sales category will be down in the 20% range due to fewer unit sales and an average retail price decline. We are expecting though, some record sales of PS-2 titles that will really appeal to our core gamer, like Kingdom Hearts 2 from Square Soft, due next week, and Final Fantasy 12, also from Square Soft, due this fall. Sales of game cube games are planned to be down significantly this year also, but we will benefit from the new legend of Zelda game expected this fall, which our market share might well be over 50%. Also, sales of both PSP and Nintendo DS games, the handheld systems, are expected to almost double over the prior year. We have been very pleased with sales of recently released X-Box 360 games, like Fight night round 3 from EA and Ghost Recon from UBSoft, which have exceeded expectations. And our reservations for Elder Schools 4 from Take2, due out today, are well above plan. So while visibility at this time of year is obviously limited, we are seeing some major title releases from non- US publishers like Nintendo, SONY, Square Soft and UBSoft that drive sales, especially in the core gamer segment – which we dominate. Customers are trading in their old games for these new games and systems in record numbers. Remember, the trade in program gives our customers a source of currency that drives our new business and supplies us the inventory for the budget oriented customer that cannot afford the price of the newest games. This new/used model has allowed GameStop to increase new game market share each quarter for the past 8 years. And once again, in February we gained almost a full market share point over the prior year. As Dick mentioned, the integration has gone remarkably well and we have already reached the major milestones that will provide the company with the promised merger synergy in ’06 and beyond. Also, we have been implementing best-practices across all stores that will improve in-store merchandising, used business practices and store operating efficiencies, to name a few. We will begin re-branding in the US later this year, but within several months from now, stores’ merchandising practices and systems will be standardized such that the customer experience will be exactly the same in both store formats. Now, we’ll turn it over to the moderator for a Q&A session.
Operator: Again as a reminder, please press star 1 on your touchtone telephone if you’d like to ask a question. If your question has been asked and answered, you may remove yourself by pressing star 2. Once again that is star 1 one your touchtone phone to ask a question. We’ll pause for just a moment to give everyone an opportunity to signal. We go first to David McGee with Sun Trust, Robinson, Humphries.
David McGee.: Good morning. Great quarter. A question regarding what you’re seeing with your newer stores on the international front as you look over the next couple of years more and more of your new stores will be there. What are you learning as far as the economics and the experience of opening stores there?
Dick Fontaine, Chairman and CEO.: Well the economics, David, are generally like the US or probably there are slight differences country by country. For the most part, it isn’t a totally new business formula; it’s more a variety of the existing business formula that we fine-tuned in the US. Just some of them that I might hit is that in Spain, we’re obviously adopting. We have a new business in Spain we’re adapting to some very unique business hours. They’re open only 39 hours during the course of the week. That will be somewhat different for us. In Germany, we are expanding very rapidly. There we have potential for very high sales per square foot but commensurately somewhat higher rental costs, particularly in the malls, which is where most of our expansion is taking place. And in all countries, they probably are 2 steps behind where we are in the US in terms of developing the nuances of their new and used business model. They certainly are in that business but they probably are where we were perhaps 2+ years ago. So, we think we will move them much more aggressively into that category, not only increasing the used sales, but as I indicated before, driving more new sales and giving customers better values as well.
David McGee.: Thank you.
Operator: We’ll go next to Elizabeth Osher with Citigroup. Please go ahead.
Elizabeth Osher.: Thanks just 2 questions. One could you just…obviously you mentioned the synergy number for this year but, are you still expecting an incremental $20 million in SG&A synergies in the following year?
David Carlson, Executive Vice President and Chief Financial Officer.: Yeah. We’re looking at some additional synergies in the following year because of the timing of the closing of the general office and distribution center. Obviously, we feel we’ll get a pretty significant piece this year, but it will be close for the entire year in 2007 obviously. So we will pick up some additional synergies. Yes.
Elizabeth Osher.: And second, could you just kind of comment on your bigger picture goals of saying that you felt there was the potential for 7,000 specialty video game stores in the US, potentially the same number in Europe. As you kind of spend the time going through the EB portfolio, does that still seem like a reasonable number to you or are you worried about cannibalization?
Dick Fontaine, Chairman and CEO.: We continue, because we’ve grown so fast over the last couple of years, we’ve kept a very close eye on cannibalization or to be precise, cannibalization that doesn’t make financial sense. We have in many instances put stores within markets where we felt that there was going to be a 5-10% cannibalization, but net/net, the investment still made sense. That will continue to be the case. We have not changed our opinion as to the growth of the market with the merger of electronic boutique. We probably have refined our criteria somewhat in terms of new stores because we have such a larger base now to analyze, but fundamentally, there isn’t anything that would cause us to back off our growth projections based on the mergers of the 2 companies. And, indeed, given that we’re beginning to be more knowledgeable about the opportunities and potential internationally, if anything, there may be more opportunities there than we originally thought.
Elizabeth Osher.: Thanks. If I could ask just one more…could someone just speak to the software comps that you expect in the first quarter and how you’re thinking about some of the top petals over the next few months?
Dick Fontaine, Chairman and CEO.: Overall comps will be slightly negative in the first quarter, as David said, because of the PSP launch. But earnings will increase nicely in the first quarter primarily because of shifting mix to more software sales. And, we have some great titles that have already released in the quarter and I think I mentioned one that’s due out today, Ghost Recon...(inaudible) Ghost recon came out a couple of weeks ago, we expect it to do very well. We’re really pleased with sales of games that are released so far in the quarter. We have not had disappointments in game releases. And as a matter of fact, it’s been more the opposite. We’ve been pleasantly surprised with the strength of some of these titles that have come out.
Elizabeth Osher.: Okay, thanks a lot.
Operator: We’ll go next to Everett Williams with Harris Nesbit. Please go ahead.
Everett Williams.: Good morning, a couple of questions for you. First of all, you know, you alluded to it in your remarks, we’re hearing that there’s a significant supply of XBOX hardware coming into the channel in the next few weeks. Could you kind of give us some color as to how this compares to what your original launch quantities were?
David Carlson, Executive Vice President and Chief Financial Officer.: I don’t know if I can compare to my original launch quantity that quickly. I can tell you that as I mentioned, you will begin seeing adds for 360s, which imply pretty much widespread supply. And, I think there was an announcement by Microsoft just this morning that talked about what a 2-3 times the number weekly, than they had been supplying the channel. That channel supply has been lumpy. Some weeks it has been good and some weeks not so good. So, with this 2-3 (inaudible) week, I can’t answer that. From everything that we’re getting from Microsoft, I think we’ve turned a corner and that supply seems to be…we’re expecting supply commensurate with demand any day now within the next several weeks.
Everett Williams.: Okay. And looking into calendar ’06, what are your capital expenditure plans given the 400 store build and should we model those stores similar to historical patterns or what’s the rate that we should be adding them to your model?
David Carlson, Executive Vice President and Chief Financial Officer.: I think as I mentioned we’re looking at about $110 million in capital expenditures for the year and they should be fairly evenly distributed over the 4 quarters; right now it’s looking like about 100 per quarter.
Everett Williams.: Okay and are these stores primarily going to be in Europe? Can you give us some geographic…?
David Carlson, Executive Vice President and Chief Financial Officer.: We’ve said in the past that we think about half of the new store openings will be in the US and half of them will be international.
Everett Williams: And what was your approximate store breakdown if we look at it on a geographic basis at the end of the year?
David Carlson, Executive Vice President and Chief Financial Officer.: At the end of the year we had approximately 3,624 stores in the US, 261 stores in Canada, 177 stores in Australia/New Zealand and 428 stores in Europe, for a total of 4,490.
Everett Williams: And then David, if you could talk for just a moment about comps for the year. Are there other…how should we look at the comps in the 2nd through 4th quarters? It sounds to me like the fourth quarter should be fairly substantial as you indicated with the 2 new hardware systems comping against 360 and then significant supplies of 360.
David Carlson, Executive Vice President and Chief Financial Officer.: Sure. Although we haven’t given guidance yet, I think we can say that based on our full year number, the second, third and fourth quarters at this point look to be positive comps vs. the negative comp we were looking at in the first quarter.
Everett Williams.: So the primary issue in the first quarter is just the launch of PSP in March of last year?
David Carlson, Executive Vice President and Chief Financial Officer.: Definitely. That is the significant issue, yes.
Everett Williams.: And then what was the timing that you were hoping to have the EB headquarters closed down by?
Dick Fontaine, Chairman and CEO.: It has many functions that have already closed. But most will be entirely closed by about the first of April.
Everett Williams.: Okay, so…looking at your 2nd quarter, is that when we begin to get significant realization? So the synergies that you’re alluding to from the EB merger, will those primarily be coming in the 2nd through 4th quarters?
Dick Fontaine, Chairman and CEO.: As I mentioned in my comments, the distribution center and general office synergies should be coming in the last 3 quarters of the year.
Everett Williams.: Okay. Great. Thank you guys.
Operator: Again if you’d like to ask a question, please press star 1 on your teleph9one. If you’d like to be removed from the cue, please press star 2. We’ll go next to Arvin Bacha with Stern Eddie.
Arvin Bacha.: Hi guys, great quarter. Quick question on the used business side. Can you update some of the competition that you might be seeing there? And then I have a follow up questions.
Dick Fontaine, Chairman and CEO.: I don’t think there’s any new competition particularly and certainly not on any massive scale that hasn’t been out there before. I’m sure you’ve heard or seen some rumors in a press release that Best Buy is testing the concept. We of course are keeping an eye on that. There appears to be a very few stores with a start and stop approach at the moment that is extremely limited. The other two major competitors that are in the category are Game Crazy and Game Rush. Because of the issues that are facing them, predominantly on the movie side, they’re clearly not as focused on this category nor are they as aggressive. So I’d say that it’s a particularly good time for us in that none of the competitors that we have out there are moving forward tremendously aggressively and there really have been no new competitors on any significant scale.
Arvin Bacha.: Great. A question on the market share increase that you talked about in February of 1%. Can we look at the year end numbers, January ’06 and January ’05, pro forma; 21% compares to what? A couple percent share gain?
David Carlson, Executive Vice President and Chief Financial Officer.: It was about a ¾ percent share gain.
Arvin Bacha.: Three quarters. Okay. And last, Dave, clarification, you had talked about 30 million in synergies this year and 50 next year (inaudible) timing. No, 70-80 million is the actual synergies that you expect this year?
David Carlson, Executive Vice President and Chief Financial Officer.: Yes, that is correct.
Arvin Bacha.: Okay, just wanted to be sure. Alright, that’s all I have. Thank you guys.
Operator: We’ll go next to Tony Gigas with Piper Jaffray. Please go ahead.
Tony Gigas.: Thank you, good morning. A couple of questions. Have you experienced any changes to the margins of your new, excuse me to the used video game business as a result of the transition or the merger with Electronic Boutique. Has there been any opportunity to maybe improve those margins? Second question: with the strength in the used business and this now being potentially about a $1.5 billion industry in the US, have you been approached by any of the video game publishers regarding the impact to their business? Is there any…could that business be compromised in any way? And who sets the life of the (inaudible)? Is that SONY and Microsoft, etc.?
Dan DeMatteo, Vice Chairman and Chief Operating Officer.: I guess I can answer those questions. The first question is that are we seeing any margin improvement… I think as Dick mentioned, by utilizing the best practices, primarily of GameStop’s pricing model, yes we have seen some improvement in margins in the used video game business. That’s part of the synergies that Dave alluded to in the $70-80 million range that we’ll receive this year. We’re not breaking it out exactly what that piece is, but that’s part of it. As it relates to the used video game business, I think we have been very successful in explaining to the software publishers how the used videogame business benefits the new video game business. It drives it because it provides the customer with currency that they didn’t have. It allows them to purchase new video games. Indeed, 80% of our trade-ins last year, 2005, went towards the purchase of new video games. In other words, only 20% went used-to-used and 80% went used-to-new. So we provided hundreds of millions of dollars of currency with which consumers bought new video games. It does not cannibalize the sales of new front line video games. We’ve also proven that consumers do not trade in games until long after they’ve played them. And usually it takes over a year before they trade them in. it drives the new game business. We’ve had many discussions with the publishers and we think they all understand that.
Tony Gigas.: Who sets those licensing agreements? Is it the publishers or is it SONY, Microsoft?
Dan DeMatteo, Vice Chairman and Chief Operating Officer.: It depends on the intellectual property, but it’s probably mostly the publishers who are setting the agreements.
Tony Gigas.: A couple of quick follow ups. What’s your price expectation for the PS-2 and XBOX when it gets cut here? And when, specifically, is that? Is it a mid-year cut and the specific price point?
Dan DeMatteo, Vice Chairman and Chief Operating Officer.: I believe we have planned it in the E3 timeframe and I believe it’s $129.
Tony Gigas.: And a final question. Can you comment on your used inventory levels? Do you have enough supply of product right now? Some of checks have been showing that you guys appear to be a little on the light side in terms of used.
Dick Fontaine, Chairman and CEO.: Let me jump in because we’ve addressed this on many occasions and I would say your last comment is correct. It’s a category where we continue to chase product and at this point in time I wouldn’t say that we are somewhat light. I think we will do a better job of getting those light stores in to stock with some stock balancing within markets that will take place a little bit later as we complete the integration of our systems. But the truth of the matter is that this is a category where, for the most part, we are chasing inventory and your observation is correct. We’re somewhat light at the moment.
Tony Gigas.: Okay, good job. Thanks guys.
Operator: We go next to Evan Wilson with Pacific Crest Securities.
Evan Wilson.: Hi, thanks for taking the question. I’m wondering if you could drill down a little bit more on the cost of goods, both on the new hardware and new software side; we saw a pretty big variance in Q4, relative to Q3 and also to Q4 last year. Could you explain exactly what the drivers are there and how we should follow that going forward?
David Carlson, Executive Vice President and Chief Financial Officer.: Sure, the margin on the new video game hardware was up quite a bit from last year. This really had to do with the warranty programs that Electronic Boutique had in place that we have adopted for both companies. So, the entire increase has to do with that. And on the new video game software, as we had talked about in the third quarter, co-op advertising is very strong in the third and fourth quarters of this year and that does get allocated into the margin. So, last year when halo and (inaudible) came out, the co-op was fairly light in the third and fourth quarter, but this year it was much better and back to the normal weights, really.
Evan Wilson.: So how would you expect that to (inaudible) and where would you expect it to finish the year?
David Carlson, Executive Vice President and Chief Financial Officer.: I would expect it to have similar rates to what we experienced in the fourth quarter of 2005.
Evan Wilson.: And what’s the difference in terms of the other lines, the 500 basis point change Q4 over Q3?
David Carlson, Executive Vice President and Chief Financial Officer.: There are so many categories in there; off the top of my head I’m not going to be able to give you a good answer there.
Evan Wilson.: And what are you guys forecasting for a tax rate in 2006?
David Carlson, Executive Vice President and Chief Financial Officer.: We’re looking at somewhere between 37-37.5%.
Evan Wilson.: Thanks very much.
Operator: We’ll take our final question from Bill Armstrong with CL King and Associates. Please go ahead.
Bill Armstrong.: Good morning. Great quarter. On the 70-80 million of synergies, my recollection was that you had been talking about $50 million. I was wondering what the delta was there to increase that.
David Carlson, Executive Vice President and Chief Financial Officer.: It was a couple of things. One was the freight savings that we were able to get from putting the two companies together, which we had never quantified. Second, it was the benefits from putting the EB used video game category though the buying and selling algorithms that GameStop has implemented.
Bill Armstrong.: Okay, so that means it’s not all going to hit the SG&A. some of it will show up in gross profits?
David Carlson, Executive Vice President and Chief Financial Officer.: Definitely some of it will show up in gross profits.
Bill Armstrong.: Okay. Just a clarification on your longer term 25% earnings growth projection. Does that mean in the three years after ’06, in other words, ’07, ’08 and ’09, you’re looking for about 25% growth in each of those three years?
David Carlson, Executive Vice President and Chief Financial Officer.: Actually, the way it is stated is that we expect for the three years, 2006, 2007, and 2008, to have at least a 25% growth rate with 2006 obviously being higher, based on the guidance that we gave. But what we were really trying to do there is to signal a long term EPS growth rate.
Bill Armstrong.: Okay, so it’s not like a compounded rate where you get 81% in ’06 and then some single-digit number in ’07 and ’08?
David Carlson, Executive Vice President and Chief Financial Officer.: No, we were not.
Bill Armstrong.: Okay, I just wanted to clarify that. And, finally, I guess you kind of answered this. Obviously, looking for negative comps in the first quarter and then positive beyond that…I assume that you’re assuming the biggest comp number would be the fourth quarter, with the 2 big launches?
David Carlson, Executive Vice President and Chief Financial Officer.: That’s pretty much correct. We’re looking at probably the largest comp in the fourth quarter when the PS3 and Nintendo revolution launch.
Bill Armstrong.: Do you feel that your unit assumptions of 1.0-1.2 million for PS-3, first of all I just want to clarify – is that North American?
Dick Fontaine, Chairman and CEO.: Yeah, that’s a US-based number.
Bill Armstrong.: Do you feel that’s a conservative number?
Dick Fontaine, Chairman and CEO.: I don’t know what I feel in terms of hardware launches anymore. We don’t really believe though that it is that significant. Wherever that comes in at…it could be higher than that, it could be less than that. It’s not going to have much significance at all to our 4th quarter earnings.
Bill Armstrong.: Did the way, from the official spring target to November by SONY, did that surprise you guys?
Dick Fontaine, Chairman and CEO.: No, as a matter of fact I think we had mentioned this from the very get-go; we have had this forecast in our models as a November launch. And with the discussions taking place leading up to this, we would have been pleasantly surprised had this come out. But, it didn’t change our numbers or forecasts at all.
Bill Armstrong.: Great. That’s all I have.
Dick Fontaine, Chairman and CEO.: Alright. Thank you very much for joining us. Obviously an outstanding year for GameStop. We’re extremely enthused about the year ahead and we really appreciate your support. Thanks for joining us today.
Operator: Again ladies and gentlemen, this does conclude today’s conference. Thank you for your participation. At this time you may now disconnect.
 Copyright policy: : THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE CONFERENCE CALLS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S CONFERENCE CALL ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS.
 You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. : THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE CONFERENCE CALLS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S CONFERENCE CALL ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS.